Operator: Welcome to the DuPont First Quarter 2011 Earnings Call. My name is John, and I'll be your operator for today's call. [Operator Instructions] I will now turn the call over to Ms. Karen Fletcher. Karen, you may begin.
Karen Fletcher: Thank you, John. Good morning, and welcome, everyone. With me this morning are Ellen Kullman, Chair and CEO; Nick Fanandakis, Executive Vice President and CFO; and Jim Borel, Executive Vice President. [Technical Difficulty] All right. Thank you. Sorry, we had technical problems in this room. I'm going to start from the beginning, and I'd like to welcome everybody and apologize for our delay. With me this morning are Ellen Kullman, Chair and CEO; Nick Fanandakis, Executive Vice President and CFO; and Jim Borel, Executive Vice President. The slides for today's call can be found on our website at dupont.com, along with the news release that was issued earlier today. During the course of this conference call, we will make forward-looking statements. And I direct you to Slide 1 for our disclaimers. All statements that address expectations for projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures. Please refer to the reconciliations to GAAP statements provided with our earnings news release and on our website. And finally, we have posted supplemental information on our website that we hope is helpful to your understanding of our company's performance. It's now my pleasure to turn the call over to Ellen.
Ellen Kullman: All right. Thank you, Karen, and good morning, everyone. I'm pleased to report very strong results in the first quarter. They reflect disciplined execution across our businesses. And since we reorganized the company 18 months ago, we have consistently focused on market-driven innovation, differential allocation of resources and productivity, and this focus continues to pay off. Each reporting segment contributed to our robust performance this quarter. And as a result, we are raising our full year's earnings guidance. Sales were up 18% with double-digit increases in every reporting segment and in every region. The largest volume gains were in our growth segment, Safety & Protection , Ag & Nutrition, Electronics & Communications. Success on the top line is directly connected to DuPont's innovation that our customers want, and I'd like to share a couple of examples of how our businesses are driving growth and differentiation through new products. The first example comes from Safety & Protection. We work closely with law enforcement and military to address their needs for protection, and we took our groundbreaking Kevlar XP technology that was already commercial for law enforcement vests, and we extended its unique construction of Kevlar fibers for Hard Armor application. This new material enables weight savings up to 20%, while maintaining essential ballistic protection, a significant benefit for the soldiers and the officers who risk their lives every day. Most importantly, this innovation allows lighter, thinner helmets than ever before and is designed to work in helmet manufacturer's existing equipment. Kevlar XP for Hard Armor is also going to benefit from the new capabilities and supply from DuPont's Kevlar facility expansion in Cooper River, South Carolina, which is on track to start up at the end of this year. A second example is from Performance Polymer. Last spring, Diane Gulyas announced the launch of a new family of products branded as Zytel PLUS. These resins provide a step change in heat-resistant properties and opened up new opportunities for metal replacement and automotive application. Thus, they reduce weight and improve fuel economy. During the past 12 months, commercial adoption has been 75% faster than previous launches of a similar nature. And the size of the development pool is over 60 programs, which is outstanding this soon after launch. Last fall, General Motors won an award from the Society of Plastics Engineers for the most innovative use of plastics based on Zytel PLUS. And in short, there's a great momentum with this family of resins with the innovative approach to light weighting, which is squarely in the sweet spot of the megatrend to reduce our dependency on fossil fuels. Now there are plenty of product examples in our Ag business and since Jim's on the call today, I'm going to let him talk about how innovation is contributing to their strong performance this year. As I mentioned earlier, growth in the quarter was broad-based. One of the standout achievements was our performance in developing markets. Many years ago, we recognized the importance of these markets, and we laid the groundwork with the basic sales force and people skilled in application development. And over the past 5 to 6 years, we added research and development laboratories in locations like Shanghai, Hyderabad and Paulinia, Brazil. Localizing the science is a very important part of our growth story. And through these labs, we were able to identify and directly service local needs tied to the megatrends of increasing agricultural productivity, reducing dependence on fossil fuels and protecting people and the environment. And a result of these efforts is that for the full year of 2010, developing markets represents 32% of our total company sales, and in the first quarter, sales to those markets grew by 30%. Moving to the bottom line. First quarter earnings per share were up 23% versus prior year. And if you peel back that to the segment level, pretax operating income, excluding Pharmaceuticals, was up 31%. Earnings benefited from price increases significantly outpacing higher raw materials and energy costs. And furthermore, we remain vigilant in our focus on productivity with respect to fixed costs, variable costs and working capital. And we are tracking well against our full year targets in all three areas. So let me elaborate with one example of how our Coatings business is seeing their productivity efforts fall to the bottom line. This quarter, they reduced total fixed costs as a percent of sales by 380 basis points compared to the prior year. This resulted from a combination of restructuring, action and plant-based projects driven by DuPont Production Systems. In addition, the business improved their working capital in the area of payables by nearly 20% using tools and best practices through DuPont Integrated Business Management, we call it the IBM. The team drove payable productivity through a detailed review of contract terms and through Six Sigma Lean projects. Now I'd like to give you an update on Japan. Dupont was very fortunate that our employees and their families are safe and accounted for and comparatively speaking, our production and research facilities were spared from major impact. Our Utsonomiya manufacturing and technical facility was the most impacted, and it's well on its way to being repaired and restarted. The DuPont-ers in Japan and around the world have been working tirelessly with our customers and our suppliers to provide assistance and develop workaround solutions and get back to business. This is a challenging situation as always. Our focus is on the customer. We continue to help our Japan-based customers and partners restore operations and productivity in the markets they serve. It's too early to estimate the full impact of events in Japan. We'll continue to monitor and stay very close to the development there. Now let me turn the call over to Nick. Nick?
Nicholas Fanandakis: Thank you, Ellen. And good morning, everyone. I'm delighted to report that in the first quarter, DuPont delivered yet another strong quarter and we're off to a great start for the year. This quarter's performance continues to build on the strong foundation we've laid over the past 2 years. You can see that the momentum from the previous two years is continuing into 2011. Now I'd like to review the details of the quarter, pointing out our accomplishments versus goals. And we'll start with Slide 2, which is the summary of earnings per share and sales results. Earnings per share on both a reported and an underlying basis was $1.52 compared to $1.24 in the prior year. Consolidated net sales of $10 billion were up 18% versus the prior year comprised of 9% volume gains, 8% positive local price increase and 1% benefit from portfolio changes. Volume was up in all segments and in all regions of the world. Local currency prices were also up in all regions, reflecting our continued strong pricing discipline. Let's now turn to the corporate view of the first quarter, looking at earnings per share analysis on Slide 3. Starting with price and variable costs, the quarter showed a net benefit of $0.27 per share. This reflects the difference between price and variable costs, excluding the impact of currency and volume. Driven by our innovation and pricing discipline, we continue to be very proactive implementing price increases in the face of anticipating increases in variable costs. Excluding volume, currency and portfolio impacts, first quarter raw material energy and freight costs were up 8% versus last year's first quarter. For the full year, we now anticipate an increase of about 10% to 12% over 2010. This is up from our initial guidance in January of about 4% to 5% with about 3 percentage points of this increase being metals related. Volume improvements resulted in an incremental earnings benefit of $0.28 per share compared to the same period previous year. As I mentioned earlier, this benefit is broadly based across all segments and major regions with double-digit increases in Latin America, Asia Pacific and EMEA. There's a graph depicting sales by geographic region on Slide 4. Continuing now with the very variance analysis, let's move to fixed costs. Excluding currency, volume and portfolio impacts, fixed costs reduced earnings by $0.20 per share versus last year. This reflects actions in the first quarter to support growth such as increased investments in Seed, the new Kevlar plant at Cooper River, the Tedlar expansion in Circleville along with some R&D and very specific market initiatives. As we told you during our Investor Day in December, we will deliver another $300 million of fixed cost productivity in 2011, and we're on track to meet that commitment. Year-over-year, currency was a $0.01 benefit in the quarter. We believe this will continue as a tailwind for the second quarter and full year at current levels. The other category on the waterfall shows a negative $0.07 variance. Reduced Pharmaceutical earnings were a $0.14 negative impact. First quarter Pharma earnings were $50 million, in line with our expectations and about $170 million below what the prior year's performance was. Our full year 2011 estimate for Pharma pretax earnings remains about $200 million, approximately $290 million less than that in 2010. Next on the waterfall is higher shares outstanding, which reduced earnings by $0.05 per share. On a fully diluted basis, we had 941 million average shares outstanding in the first quarter of 2011 versus 912 million shares last year. This includes a 5 million share repurchase that we enacted in the first quarter. The last point on the EPS waterfall chart is our first quarter 2011 base tax rate, which was a benefit of $0.04 versus the prior year. This base tax rate this quarter was 21.3% versus 23.4% in the first quarter of 2010. We continue to expect a full year 2011 base tax rate in the 20% to 21% range. I want to highlight the difference between our first quarter base tax rate of 21.3% and the effective tax rate of 15.2%. The difference in rate is caused by taxes generated from our balance sheet hedging program we refer to as exchange, gains and losses or EG&L. When the tax benefit on EG&L is matched with the pretax loss, the quarter-over-quarter impact of the exchange, gains and loss is $0.05 benefit and is included in the other category of our waterfall. We provided more detail on Schedule B in the news release to show you the exact impact of our hedging program and the effect it had on our effective tax rate. Turning now to the balance sheet and cash on Slide 5. First quarter free cash flow was a seasonal outflow of $1.8 billion. Higher net income was offset by increases in working capital to support the strong revenue growth and capital spending for expansion projects. At the end of the first quarter, on a 12-month trailing basis versus first quarter 2010, we were able to increase networking capital turnover by 14%, reducing our working capital needs and in line with our commitment to deliver $300 million of productivity gains in the area of working capital this year. Our strong balance sheet continues to serve us well. We value our A credit rating and work to maintain the associated metrics to support that. We paid our 426th consecutive quarterly dividend in March. Our long-held strategy has been to maintain a strong balance sheet and return excess cash to our shareholders unless the opportunity to invest for growth is compelling. In summary for the first quarter, the year-over-year volume growth that started in the fourth quarter 2009 continued and expanded. This, along with our market-driven innovation, pricing discipline and productivity focus, delivered strong quarterly results. Let's turn now to the second quarter 2011. We expect the recovery that we've seen in our businesses to continue but in a more moderate pace than we've experienced today. As you'll hear from Jim and Karen, we continue to see strong demand globally across most of our businesses. Let's move to Slide 6 for our full year 2011 outlook. DuPont's leadership team remains confident in our business plans and our ability to execute against those plans. We're raising our guidance from a range of $3.45 to $3.75 per share to $3.65 to $3.85 per share. This excludes the impact of the planned Danisco acquisition, which could reduce 2011 earnings by $0.30 to $0.45 per share on a reported basis. The main driver for the increase in our guidance is stronger business results, especially in Safety & Protection and Performance Chemicals as well as in the developing markets. In addition, we see some benefit from the currency from weaker dollar. These are somewhat offset by increased pressures on raw material prices, increased share count and the automotive and electronic supply chain impacts that we've seen from Japan. Now I'd like to turn the call over to Jim to talk more about Ag & Nutrition segment. Jim?
James Borel: Thanks, Nick. Ag & Nutrition is off to a strong start for what we expect is going to be another year of growth across our businesses. On Slide 7, you'll see sales grew 18% to $3.8 billion, and earnings grew 21% to $1.1 billion. Our teams delivered volume growth in Seeds and Crop Protection products, good net price realization in Seeds, as well as good execution and integration of our PROaccess strategy. Earnings growth were underpinned by increased sales, which more than offset increased cost. Starting with Seed sales. First quarter reached $2.6 billion, an increase of 19% with 10% higher volumes, 6% U.S. dollar price gains and 3% impact from portfolio changes. While each region posted solid sales growth, 2/3 of the results reflected strong performance in North America and an early strong start in Europe. Specifically in North America, sales increased moderately as we continue to relentlessly execute our Right Product, Right Acre strategy. The growth represented net price gains underpinned by new product introductions as well as volume growth on top of a strong start to the season in the fourth quarter of 2010. There are numerous North American successes unfolding in the 2011 selling season. A few examples included the successful integration of 5 PROaccess partners, the fast penetration of P series corn hybrids to about 40% of our lineup and the continued strength of Pioneer brand soybeans. But perhaps the most exciting is the traction of the industry's first integrated and reduced refuge product for belowground insects, Optimum AcreMax 1. The product, which is initially targeted for northern Iowa, Illinois, Wisconsin, Minnesota and the Dakotas will be on more than 3 million acres this summer, and this is simply a phenomenal product launch. Growers saw it in demonstration plots in 2010, and they're planning it in big numbers in 2011. And remember, this is our first in a line of integrated reduced refuge products that we'll bring to the market. Our sales teams are again placing demonstration products of our 2012 commercial launches with key growers as we speak. For example, we're demonstrating Optimum AcreMax aboveground insect protection products and Optimum AcreMax XTRA above- and belowground insect protection products. We're planning to have well over 1,500 growers gaining firsthand experience with these products this summer. Both Optimum AcreMax and AcreMax XTRA products are pending EPA approvals, which we estimate to be in around the third quarter of 2011 and plenty of time for 2012 planning. Turning to our European Feed business. Increased corn sales reflects a nice rebound to the Ag economy. Net pricing gains, coupled with an early start to the season, which created some timing differences that significantly favor first quarter. In Crop Protection, sales were up significantly as higher volumes more than offset portfolio changes and weaker U.S. dollar pricing. The strong volume performance was a combination of continued penetration of our new products and early strong start in the northern hemisphere and the channel stocking in response to high grower demand for Crop Protection. On a product segment basis, volume was up across all of our segments of weed, disease and insect control products. Within insect control, Rynaxypyr continues to strongly contribute to our growth. And based on the rapid penetration we're seeing across all markets, it will grow another 25% in 2011 to $500 million in sales. Importantly, we're on track with investments supporting the registration and launch preparation of other new products in our robust pipeline such as land management herbicides and our new fungicides as we continue to rapidly capitalize on new innovations. Turning to our Nutrition & Health business. Their transformation work delivered improved productivity as well as improved mix towards specialty products. All in, the execution of their plan delivered higher sales, earnings and margins in the quarter. Looking ahead to second quarter for the Ag & Nutrition reporting segment, we expect sales growth of about 10% and earnings percent growth to be in the mid- to high single digits as compared to the same period last year. This reflects strong business performance, but also reflects the jump on the season we saw in the first quarter, which we're estimating at about $0.04 to $0.05 earnings per share impact. Specifically, the Seed business anticipates a strong finish to the North America planting season and lower sales in the EU surely due to the seasonal shifts we saw in the first quarter. Crop Protection also anticipates broad geographic and product volume growth, however at a reduced pace. Also considered in our updated outlook, our absences of onetime net proceeds from the second quarter of 2010 divested Crop Protection business offset by onetime net proceeds for a sale that was transacted in April of 2011. With the seasonal nature of Ag, explaining quarterly performance is always challenging, so let me leave you with an updated full year Ag & Nutrition picture. We anticipate performing at the upper end of our long-term commitment of 8% to 10% sales and 13% to 17% earnings growth. The plan we put in place back in 2006 and '07 has delivered success year in and year out. The businesses have never been stronger as we continue to focus on our customers, delivering innovation and driving disciplined execution. Karen, I'll hand it back to you.
Karen Fletcher: Okay. Thanks, Jim. Now let's turn to Slide 8 and Electronics & Communications. Sales of $811 million improved 29% compared to the same period last year with 9% volume improvement and 20% higher prices, primarily metal pass-through pricing. Pretax earnings of $111 million are $6 million higher than the same period last year. Strong performance was led by Asia Pacific with 26% volume growth, photovoltaic sales were up substantially and strong demand for smartphones and tablet PCs also contributed. The business continues its investment in capacity expansions and new products with a focus on innovation for the PV market. For the second quarter, Electronics & Communications sales are expected to be substantially above prior year, driven by the anticipated impact from metal price pass-through and demand in PV and consumer electronic with earnings up slightly, reflecting potential Japan impact. We continue to anticipate significant market growth for photovoltaics for the full year. Moving on to Slide 9 and Performance Chemicals. $1.8 billion in sales was a year-over-year improvement of 27% with a 21% increase in price and 6% on volume. Pretax earnings of $394 million were $204 million greater than the same period last year with PTOI margins climbing to 22%. Robust global demand across TiO2, refrigerants and fluoropolymers gave lift to this segment, and all regions demonstrated growth rates above 20%. While TiO2 gets much of the attention these days, let me emphasize that our Chemicals and Fluoroproducts business also performed impressively. Our Teflon fluoroproducts demonstrated nice growth going into many industrial applications like cabling and coating. Additionally, our industry-leading refrigerant, ISCEON and Suva, were in high demand as we ramp up for the summer. I'd like to recognize our operations team in Performance Chemicals this quarter, several of our businesses are experiencing "high sales to capacity" ratios and our teams ran the plants extremely well to maximize our output. Looking ahead to the second quarter. This is the peak season for many of the segments' products. Performance Chemicals' sales and earnings are expected to grow substantially year-over-year, given tight supply in the face of strong demand for several of our products. Productivity effort through DuPont Production System should continue to deliver additional capacity to better serve the market. Now let's turn to Slide 10 in Performance Coatings. Segment sales of $993 million increased by 10% on stronger pricing and volume gains. Demand was driven by growth in the global automotive market and continued strengthening in the heavy-duty truck market in North America. Pretax operating income was $65 million, 44% above prior year on stronger sales and improved operating leverage. For the second quarter, we expect segment sales to be up modestly year-over-year with earnings up moderately. Increases will be driven by seasonal patterns in the automotive aftermarket and continued strength in the heavy-duty truck segment, offsetting a significant decrease in second quarter auto builds due to Japan impact. There's still a lot of uncertainty around Japan. With respect to auto builds, various third-party reports anticipate a 10% to 15% reduction in second quarter versus prior forecast or, all in, about 6% below last year. The expectation is that most of the reduced sales outside of Japan will be made up during the second half of the year with builds inside Japan not fully recovering until 2012. Full year global sales are still expected to be up about 4% after a good start in the first quarter. Moving on to Slide 11 and Performance Materials. Segment sales of $1.7 billion were up 11% on 7% higher volume and 6% higher price, offsetting a 2% portfolio change made in 2010. Strong demand for high-performance polymers like Zytel and Surlyn drove sales in the automotive, electronics and packaging applications. In particular, European automotive performed very well this quarter as our innovative plastics helped customers reduce cost and weight. For this segment, pretax operating income was $288 million, a 25% increase versus prior year, including benefits from cost productivity. For the second quarter, we foresee sales growing modestly and PTOI declining slightly versus a strong cost period. Prior year included a $27 million benefit from a gain on the sale of a business and an insurance recovery. As a result of the Japan earthquake and tsunami, automotive markets will have some intermediate-term impacts that are not fully known at this time. However, we see continued strength in other regions of the globe, which we expect to largely offset the near-term revenue impact from Japan. Lastly, let's move to Safety & Protection on Slide 12, where we see continued evidence of the mid-cycle recovery. Sales climbed 22% on 14% volume growth with 1% price and a 7% increase from Nomex acquisition, which is integrating nicely into our Sustainable Solutions business. Nomex, Tyvek and Kevlar all contributed to segment growth with strong demand from industrial markets. Pretax operating income climbed $43 million to $145 million on higher volume and increased operating leverage. Despite growth spending on Cooper River and other investments, the business delivered a 200 basis point improvement in pretax operating margin this quarter. Looking ahead to second quarter, we see sales increasing significantly and pretax operating income growing substantially with continued operating leverage. We have a positive outlook for industrial and automotive markets, overcoming a sluggish housing market. Additionally, our Cooper River facility continues on track for its "end of the year" startup. And with that, Ellen, I'll turn the call back to you.
Ellen Kullman: Great. Thank you, Karen. And before I close, I want to address the Danisco transaction. All regulatory conditions have been met to complete our tender offer, and we've made up our position clear. Our offer is full, fair and firm. Danisco shareholders have a choice to make between the certainty of our offer or the risk of the deal going away, and that offer period is scheduled to end on April 29. You know, I want to recap my key message points. First, DuPont is executing well. We have very clear strategies and plans for each business and strive to constantly raise the bar and outperform our competitors. On Slide 13, you can see an abbreviated version of the 2011 directives that I use with employees to drive focus, to drive performance and to drive accountability. We also have business-specific commitments that are aligned with these directives and are externally benchmarks for each business in the major markets they serve. We have a disciplined managing process to evaluate progress against these targets, to evaluate new opportunities as well as contingency plans. We have the discipline and flexibility to respond to dynamic conditions and unforeseen events such as the tragedy in Japan. Second, we remain focused on our customers and our markets. Our relationships and important market insights translate into a number of triple work processes. They range from new product development to customer service to supply chain decision. Our customer focus and organization structure also enables us to respond quickly to opportunities, and it's why we're able to deliver 18% sales growth and 23% earnings per share growth in the quarter. A very strong start to the year gives us increased confidence in raising our earnings outlook to the range of $3.65 to $3.85 per share and obviously this excludes any impact from the planned acquisition of Danisco. Finally, you heard Nick discuss the various headwinds and tailwinds that lie ahead, and I want to leave you with this: in a dynamic and in times uncertain environment, you can kind on DuPont. My leadership team understands the levers we can pull to respond to the challenges we face and whether they're unmet needs of a customer or servicing in a tight market, participating Japan's recovery or countering a competitive threat, I believe we demonstrated as much over the past 2 years. We're very proud of the track record of executing well, and we are committed to building on it. So with that, we are now very happy to take your questions.
Karen Fletcher: So John, let's open up the line.
Operator: [Operator Instructions] And we have a question from Don Carson from Susquehanna.
Donald Carson - Susquehanna Financial Group, LLLP: Yes, thank you. Nick, have a question on volume growth, the potential for continued operating leverage. If you look at Slide 16, it shows DuPont sales volumes are back up to the pre-recession 2008 levels. I'm just wondering if you take Electronics out, where are the rest of the businesses? Are they back up to their 2008 levels? And what sort of volume growth prospects do you see going forward?
Nicholas Fanandakis: So some of the businesses are back to the 2008 levels or exceeding 2008 levels. And then, there's a couple of areas where there's still opportunity for continued growth. DPC is certainly not at the 2008 levels because we haven't seen the recovery in the automotive market, although its been there not at the levels that it was back prerecession. S&P, because it entered into the cycle late and is still mid-cycle, pulling out of that. They haven't reached the pre-recessionary levels as well. But many areas of the corporation have. Ag & Nutrition obviously never really experienced that dip, and they've continued to show that steady growth. And then Performance Chemicals, they're well above the pre-recessionary levels.
Donald Carson - Susquehanna Financial Group, LLLP: Okay. And then on Performance Chemicals, are you running flat out in TiO2? I'm just wondering what opportunities you have to increase volumes there with de-bottlenecking? Or is all the growth going to be price related?
James Borel: The business is extremely tight as the industry is extremely tight. When you look at the high-quality TiO2, it's a tight industry and market altogether. But what we've done and continue to do is drive DuPont Production Systems. We continue to look for re-mounts [ph] of our facilities by utilizing DuPont Production Systems methodology, and that's allowed us to maintain our ability to keep up with customers' demands. But even with that, Don, the market remains very tight.
Ellen Kullman: Don, to put some context to it, if you think of the last five years, through DPS and all of the [indiscernible], we've liberated over 100,000 tons of TiO2 from our current production facility. And so that's the kind of impact that DPS has had on that business. It enabled them to really meet customer needs.
Operator: Our next question comes from P.J. Juvekar from Citi.
P.J. Juvekar - Citigroup Inc: I have a quick question on Ag. You talked about Seed prices going up, but it looks like Crop Protection chemical prices are down. Now in Seeds, there is inflation in manufacturing of Seeds, and that will be reflected in your payments to the contract growth. So with all that, what's your pricing strategy for next year to offset that inflation?
James Borel: Thanks, P.J. On the Seed side, as you know, first of all, on the cost of goods question that you mentioned, a couple of things that we do there. One, I think you're aware that we use a hedging strategy as part of the price setting to help us manage margins and also continue it separate like we have across the rest of the company around productivity improvement, around cost of goods. So those two things are helping us mitigate the impact. And the other thing always to remember on the Seed side is it's a high science business, not a commodity business. And so pricing decisions really are primary driven by the value we're delivering to growers and we're continuing to bring additional value to growers, will are giving us pricing opportunities in what we expect to be in excess of cost increases.
P.J. Juvekar - Citigroup Inc: And just following up on Seeds, you said AcreMax 1, the uptick was good. I guess you planted 3 million acres. Your competitor is also introducing new reap products. Do you see a big shift in grower preferences to what is reap products and what does that mean for market share? Thank you.
James Borel: Yes. Thanks, P.J. As you know, we're pioneering the idea of refuge-in-a-bag. We had a pretty broad exposure with belowground insect control last year, and that's one of the reasons why AcreMax 1 has taken off so strongly this year. And we're going to have a couple of more products added to that lineup next year. So first of all, we started with belowground insect control. That's the toughest one for farmers to manage. The refuge has to be in the same field, it has significant yield impacts, et cetera. And so with AcreMax 1 dealing with belowground insect control, that's been very, very popular. But next year, we're expecting to have integrated reduced aboveground and integrated and reduced above and below. So we think it's going to be a significant opportunity for -- extra value for farmers and growth for us. We feel very good about our position and our momentum in that space.
Operator: Our next question comes from David Begleiter from Deutsche Bank.
David Begleiter - Deutsche Bank AG: Ellen, on TiO2 pricing, what's you're thinking about how high can prices go? Are we in a period of 20%-plus pricing for the next couple of years? And how are you thinking about demand destruction [ph] at these higher levels?
Ellen Kullman: TiO2 market is a classic commodity chemical that price and those ups and down and I ran that business in the middle '90s and experienced both sides of that cycle. And so if you take a look at where prices today certainly is unprecedented, but at the same time the inputs are much higher than they were before or prices today versus a decade ago and things like that. So the economics there are pretty constant. If you're on a constant dollar basis, we're not back yet to the 80s [ph] in terms of pricing. So it's a hard market to predict because there's a lot of things that come into play, but capacity utilization is the major one. And companies are trying to de-bottleneck. We're certainly well on our way to analyze our needs there over the next few years. But it's a dynamic situation, which I personally experienced which is one then that helps me not predict straight lines in that industry because it's an industry that does -- that can turn on you.
David Begleiter - Deutsche Bank AG: And Ellen, feedstock-wise, what are your prices up year-over-year? And are you having trouble; getting any feedstocks?
Ellen Kullman: Well, the beauty of our production capability is that we can utilize a very wide range of feedstocks from the very low end to the very high end. So we have an ability to move into market to where there are feedstocks and really get what we need and obviously considering our scale at a great economy. So that capability really positions us well in any kind of core market, and I think that's one of the key differentiators for us.
Operator: Our next question comes from the Jeff Zekauskas from JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: Your shares outstanding were up about 30 million shares year-over-year. Do you have a philosophy in terms of whether -- do you have a philosophy in terms of whether your share creep should be controlled or whether it shouldn't be controlled?
Ellen Kullman: Nick?
Nicholas Fanandakis: Jeff, this is Nick. Thanks for your question. Jeff, we do have a philosophy on that. I mean when we look at the shares that results in outstanding shares relating to the compensation program, our position is we really don't want to see that result in a dilution effect on the earnings basis. But it's not a 1-for-1 type thing, Joe. It's not something that every share that's issued right away is repurchased. When you look over time at the shares in this category and you look over, let's say, a 10-year period, we've actually issued and repurchased just about essentially the same number of shares. So we're right in that line of compensating for any shares that are issued there. But the long term, certainly our position is to maintain that impact of having no impact from the shares issued with the compensation program.
Jeffrey Zekauskas - JP Morgan Chase & Co: Well, then if I can follow up, so that's your philosophy over a 10-year period. What might be your philosophy about controlling share creep over a 1- or a 2-year period?
Nicholas Fanandakis: Yes, and again we bought back 5 million shares in the first quarter this year. We bought back 5 million shares last year as well. So obviously, we have activity to address that creep that occurs, and we're acting on that through some of the shares we repurchased. It's just not a 1-for-1 sort of exchange in the exact period.
Operator: Our next question comes from Laurence Alexander from Jefferies.
Laurence Alexander - Jefferies & Company, Inc.: First a question on Seeds and traits. I guess could you address directly the trends that you're seeing in Roundup 1 soy pricing, and how you expect that to play out over the next couple of years as generic product comes available?
James Borel: Yes, thanks. First of all, I don't really see a pricing segmentation based on an individual trait. We're using Roundup Ready 1 trait in our soybeans, but the value that we're delivering with things like Y series and the disease package it brings, that's -- we're creating value there. We're seeing net price increases as we continue to bring improved performance and value to customers. So you asked about the post-patent period, that's a few years away. So it's maybe a little early to predict precisely what will happen there. But clearly, from our point of view, it's a combination of proprietary traits that we will have, other intellectual property, a continued drive on adding value every year to performance, other services. There's a whole family of things in our relationship with growers that are delivering value, and we expect to continue doing that and we think farmers will respond to that.
Laurence Alexander - Jefferies & Company, Inc.: And I guess just more broadly a question on the different segments. To what extent are each of the segments individually implementing pricing ahead of raw materials? I mean can you characterize which ones are lagging, which ones are keeping up first thing ahead of raw materials?
Ellen Kullman: Sure. If you think about it, the segments are very different from each other, but the common element of it is that our pricing philosophy is around pricing for value to the customer. And so from that standpoint again if you see we had made great progress across the board. Electronics is an area where with the pass-through nature of the metal that you see maybe a margin decline there, but the vast majority of that is based on the metals pass-through. Chemicals is clearly ahead. Performance Polymers is clearly ahead. And in Ag again it's value placed, so it's something that if we continue to innovate, I think we'll be able to stay ahead of that curve.
Operator: Our next question comes from Kevin McCarthy from Bank of America Merrill Lynch.
Kevin McCarthy: Jim, in the Ag segment, it sounds like there could be some timing issues. If we consider those in the aggregate, do you see also if there was any profit pulled forward from the second quarter? And if so how much?
James Borel: Yes, and I think I mentioned it, but I'd estimate maybe in the range of $100 million of sales but probably $0.04 to $0.05 of earnings per share that were moved. Of course, we'll know more completely with how the second quarter develops. But that's our best estimate right now.
Kevin McCarthy: Okay, great. And then Nick, on TiO2, any milepost on your brownfield expansion plans there in terms of site location?
Nicholas Fanandakis: No, we continue to look at that obviously. The demand is very high and the estacy is very tight. So we recognize the need here, continuing to drive remounts of the facility, but we haven't come out yet with the stated location of a brownfield site as to where it would be.
Operator: Our next question comes from Edward Yang from Oppenheimer.
Edward Yang - Oppenheimer & Co. Inc.: Nick, you mentioned that Performance Coating and Safety & Protection are two areas where you had some slack. But outside of those areas, and TiO2's certainly one of them, are there any other business where you're essentially sold out?
Nicholas Fanandakis: Yes. When I was answering that question, Ed, I was talking about how it related to prerecessionary time period. It wasn't necessarily saying that every area were sold out except for those two. So I was just trying to point out that those areas are back to or exceeding the prerecessionary levels. I think you're right in your characterization, Ed, that the TiO2 is certainly a tight area. And I would say the other one is probably Fluorochem is a tight area right now for us as well.
Edward Yang - Oppenheimer & Co. Inc.: And then maybe a question for Ellen on the pricing environment. You're enjoying very strong price momentum now. If you were to qualitatively judge it, are you more confident in your pricing power today than you were three months ago? And how would you put this into context of the current environment in terms of pricing power versus your history of decline?
Ellen Kullman: I kind of hesitate when I hear the word pricing power because I think people think about that in a certain way. It's just leverage that you have. Our pricing power doesn't come from leverage. It comes from innovation. It comes from incremental improvements in products, new Solamet paste at electronics with higher efficiency, the examples that we gave in Ag and in Safety and in other areas. And so to the extent that we continue -- and that's why that metric around the number of new products and the percent of our revenue that comes from new products is very important for us because to me, that's an indicator of the strength of our connection to the customer and the strength of our ability to continue to have higher value for our customer and has moved that price line. So that is the goal. That is what we focus on constantly. And I think that some of the momentum that we've seen with the introductions we had last year in terms of -- across most of the businesses that has very, very strong innovations years last year, and we're seeing a result of that in our volumes this year and our price this year.
Operator: Our next question comes from Mark Gulley from Soleil Securities.
Mark Gulley - Soleil Securities Group, Inc.: Jim, I had a question regarding rib products for '12. I don't think it's a question of semantics. You did not mention AcreMax 2 specifically, only you did mention other items in the lineup. So where do you stand with respect to your anticipated approval of AcreMax 2 going forward?
James Borel: Yes, probably a little confusing, Mark, in terms of names. In the early days, we were talking about AcreMax 1 and 2. We've actually changed the names. So the AcreMax XTRA is going to be the above- and belowground integrated reduced refuge, and I think that's the one that you might have originally thought about as AcreMax 2, and that's on track. As I'd mentioned, we're expecting registration later this year and launch in '12. And then of course, this plain AcreMax will be the aboveground. That's also on track for integrated reduced and launch next year.
Mark Gulley - Soleil Securities Group, Inc.: So it was semantics. Second question has to do with how to think about price and mix overall in the Seeds business for '12. With the strong tailwind from crop prices and of course your need to pass on cost of good sales increases, do you think you can get real price increases in '12 that is over and above inflation?
James Borel: The answer would be yes. It's a little early to say particularly because we haven't finished this season, let alone set prices for next year. But I base that on a couple of things, Mark. Key is what we see coming through the pipeline of increased performance in hybrids plus the couple of new products plus further expansion of AcreMax 1, I think all the different elements of bringing additional value to farmers is really what gives us the opportunity to capture more in terms of price because we're delivering value to farmers. We feel very good about what's coming through the pipeline.
Operator: Our next question comes from Duffy Fischer from Barclays Capital.
Duffy Fischer - ClearBridge Advisors: A question on some of the feedstocks, especially the U.S. based with the shale gas coming through. Can you talk a little bit about your leverage between, say, the propylene and the ethylene molecule, how you're set up there, how you're taking advantage of kind of this windfall that we're seeing now? Your competitors up in the midland they announced a new cracker in the U.S.? Can you guys go more upstream or does that seem more attractive for you to lock in some of this advantage?
Ellen Kullman: So obviously, raw materials are on the move led by oil. And as you know, we're very natural gas-based in the U.S. on the Gulf Coast. Our sourcing and our people are heavily involved in making those decisions on a day-in and day-out basis. And we're positioning ourselves to really try to create the most we can do. But we're not -- we're only involved in it to a very minor extent that we just purchased some of this and inputs to the value-added products we make. So we don't play in that end of the chemical arena and so we're dealing with it just to try to get the lowest-cost raw materials we can to be able to compete effectively in the marketplace.
Duffy Fischer - ClearBridge Advisors: And so when you think of the two molecules competing -- because obviously you use propylene derivatives. You use propylene derivatives. Where do you see the most substitution happening now that the ethylene molecule, on a relative basis, is so much more attractive to propylene molecules?
Ellen Kullman: Yes, I have to talking to my ops guys and sourcing manager. I rely on them to make those trade-offs so that we get the most cost-effective inputs into the chain.
Operator: Our next question comes from Frank Mitsch from BB&T Capital Markets.
Frank Mitsch - BB&T Capital Markets: I'll stay away from the Olefins. Jim, based on the expected acres of corn planted in 2011, do you expect your market share to go up, stay the same or go down?
James Borel: Based on the expectations, we would expect the market share increases, particularly on the PROaccess side. But overall, on the Seeds side -- I don't know if you were just focus on Seed, but Crop Protection growth as well as we expect to grow a little bit more than the market.
Frank Mitsch - BB&T Capital Markets: All right. Terrific. And Ellen, obviously DuPont had a stellar first quarter beating consensus by $0.15 maybe $0.04 with the pull forward from the second quarter, but your guidance for the full year increases by a bit similar $0.15. Are you being conservative here? Or are there potential headwinds that you see out there that are giving you a little bit more cause for concern as you progress through 2011?
Ellen Kullman: No. So obviously, we have to kind of call it where we see it and what's going on today. Nick talked about the headwinds of Japan and share dilution and rising raws. And so -- no, I think that in the tailwinds are the kinds of where we are from a business standpoint and currency a little bit and things like that. So I think that's why we pegged the range and we narrowed the range and took up the bottom end a little bit more and really tried to put it in there, and so that shows we've got some increased confidence by narrowing that range and the headwinds and tailwinds to adjust as we discussed.
Operator: Our last question comes from Mark Connelly from CLSA.
Mark Connelly - Credit Agricole Securities (USA) Inc.: And I'm sorry to ask you about TiO2 again, but it's my understanding that you guys are working to re-up your fixed price contracts although they're not up yet. My question is how likely is it that we can maintain the high margins we've got now when those contracts do roll over? And second, how much of your tonnage are you taking out of Florida and how sustainable is that? I've lost track of your reserves down there.
Ellen Kullman: As have I. So we continue to drive Florida and -- but that's like 10% of our total ore consumption. But it's nice to have and we're advantaged there and so that's a good thing that we'll play that out until that line is exhausted. The ore industry is moving. Our ability to utilize a wide range of ores gives us a little bit more maneuvering capability than others in the industry that are just focused on high-grade ores and the like. And so I think it's all a relative issue. It's relative to our competitors in that industry, and I think that we're advantaged with our manufacturing process that will enable us to, whatever the situation is, be able to handle it very, very efficiently.
Mark Connelly - Credit Suisse: A quick follow-up on cellulosic. We know that M&G now is saying 13 million gallons by the end of 2012. How does that compare against your project?
Ellen Kullman: 13 million gallons by the end of 2012?
Nicholas Fanandakis: Well, I think when you look at our cellulosic ethanol, we have our facility in Tennessee, and it's about 250,000, I believe, is the number there. It's been running now for well over a year. We continue to gather the data there, and we're looking really to move forward with a commercial plan. We've already identified that it will be located in Iowa. We haven't announced the specific site yet, and you can expect to see commercial feedstocks and construction there in that 2012 time period. On the biobutanol side, the alternative fuel that we've been driving, it's meeting all of its milestones. The facility is up and running in the U.K., and it's about 1 year later than the cellulosic ethanol timeline.
Karen Fletcher: So with that, I'll see we're out of time. I'd like to thank everybody for joining us on the call. I know you have a busy day and the folks in Investor Relations are happy to work with you today and next week on your questions.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.